Executives: Jason S. Armstrong - Senior Vice President-Investor Relations Brian L. Roberts - Chairman & Chief Executive Officer Michael J. Cavanagh - Chief Financial Officer & Senior Executive Vice President Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.
Analysts: Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC Craig Eder Moffett - MoffettNathanson LLC John Christopher Hodulik - UBS Securities LLC Philip A. Cusick - JPMorgan Securities LLC Jessica Jean Reif Cohen - Bank of America Merrill Lynch Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker) Brett Feldman - Goldman Sachs & Co. Anthony DiClemente - Nomura Securities International, Inc. Bryan Kraft - Deutsche Bank Securities, Inc. Mike L. McCormack - Jefferies LLC Vijay Jayant - Evercore ISI Marci L. Ryvicker - Wells Fargo Securities LLC Frank Garreth Louthan - Raymond James & Associates, Inc.
Operator: Good morning, ladies and gentlemen, and welcome to Comcast First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Please note that this conference call is being recorded. I would now turn the call over to Senior Vice President, Investor Relations, Mr. Jason Armstrong. Please go ahead, Mr. Armstrong.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thank you, operator, and welcome, everyone. Joining me on this morning's call are Brian Roberts, Mike Cavanagh, Steve Burke, and Neil Smit. Brian and Mike will make formal remarks, and Steve and Neil will also be available for Q&A. As a reminder, because of the FCC's anti-collusion rules for the broadcast incentive option, we cannot discuss or answer any questions related to the option or spectrum today, nor will we be commenting about recent rumors or speculation about any M&A transaction. As always, let me now refer you to slide number two, which contains our Safe Harbor disclaimer and remind you that this conference call may include forward-looking statements subject to certain risks and uncertainties. In addition, in this call, we will refer to certain non-GAAP financial measures. Please refer to our 8-K for the reconciliation of non-GAAP financial measures to GAAP. With that, let me turn the call to Brian Roberts for his comments. Brian?
Brian L. Roberts - Chairman & Chief Executive Officer: Thank you, Jason, and good morning, everyone. We're off to a great start in 2016. We increased revenue and operating cash flow in the first quarter, while continuing to prudently invest in the businesses to further strengthen our competitive position and drive growth. I believe our Cable business is really differentiating itself, bolstering real innovation that is translating into the strong momentum you see in these results. We're demonstrating notable improvements in customer service, investing to put the industry's fastest Wi-Fi in homes, and to be the first to bring customers widespread access to gigabit speeds through DOCSIS 3.1 technology, and with X1, delivering a platform and a breadth of content that's unrivaled. And this quarter once again shows, our customers are responding to all of this. We increased our customer relationship growth by 36% from the first quarter of 2015 and now have achieved 50% penetration of our home's past. (2:20) We added 53,000 video customers in the quarter, making us video net add positive over the past 12 months. This important milestone has eluded us for nearly a decade and we have now accomplished it within the context of an unprecedented pace of change in this industry, including the steady drumbeat of new competitors and new offers. Our voice remotes are the latest example of how we are differentiating ourselves in the market. In a short period of time, we've deployed six million of these new remotes. Thanks to Tony Werner and his technology team's great customer experience, we're getting wonderful feedback from our customers already. We added another 438,000 broadband subscribers in the quarter, the best first quarter we've had in four years. Much like our improvement in video, the progress we are making is largely a result of improvements in churn. We are upping speeds, delivering best-in-class Wi-Fi access, and investing in more ways to add value to our customers. As a result, they are staying with us longer. Business services delivered another excellent quarter, with revenue growth of nearly 18%. This growth comes with very attractive margins for us, as you know. We continue to take share in small business and bring new competition and choice for midsize businesses as well as enterprise customers. Just as important as our strong service and subscriber metrics, Neil and the team are demonstrating terrific balance driving revenue per customer relationship forward at a healthy clip along with solid operating cash flow growth. Over at NBCUniversal, Steve and his team delivered another strong quarter. Operating cash flow increased by 10%, benefiting from particularly strong performance in Broadcast and our recent acquisition of Universal Studios Japan. Our TV business has performed well and it's had some good momentum. The advertising environment remains robust, which we believe sets up Linda Yaccarino and her team for a strong upfront. This year, we are unifying the upfront for NBC, Broadcast, Telemundo, and Cable Networks, reflecting the way we go to market as a strong and comprehensive portfolio. We feel great about our position, which will be strengthened as we now add Thursday Night Football to go along with an already strong list of sports properties. Speaking of strong sports properties, we recently surpassed $1 billion in national advertising sales for the Rio Olympics, achieving this milestone far earlier than the London Olympics. This is a very promising result, which reinforces our view of the attractiveness of this event. Meanwhile, MSNBC continues its impressive performance with its best ratings in three years and primetime up over 100%. Andy Lack and the news team are doing a wonderful job with the news organization, particularly through the early stages of this election cycle. In our Theme Parks, we're delighted about our trajectory, the momentum that we've created, and our roadmap with new investments in new attractions and additional hotel room capacity. Universal Studios Japan set attendance records in this just-ended fiscal year, and performed well in our first full quarter of ownership. Additionally, we just launched Harry Potter at Universal Hollywood and we expect it to follow the strong success we have seen with our other Potter attractions. We've got a unique and wonderful set of assets which provides Comcast NBCUniversal with many opportunities. All of this will be on display this summer when we put the full weight of the company behind the Olympics. I'm amazed at what we've accomplished in a short period of time as a combined company just five years in, and I think we're not only five years wiser and stronger but really better together. We're confident we remain on the right path to creating value for our customers and shareholders, and I couldn't be more excited about our future. Mike, over to you.
Michael J. Cavanagh - Chief Financial Officer & Senior Executive Vice President: Good morning, everybody. Let's go right to the first quarter on slide four and cover the key financials. Overall, we delivered consolidated revenue growth of 5.3% and operating cash flow growth of 6.9% for the first quarter. At Cable, the primary drivers of growth were high-speed data, video, and business services; while NBCUniversal's results were driven by Broadcast, Cable Networks, and Theme Parks, which was positively impacted by the inclusion of Universal Studios Japan. Moving down the income statement, adjusted earnings per share for the first quarter was $0.84 a share, a 6.3% increase compared to a year ago. The cash flow was $2.8 billion in the first quarter, a decline of 11.9%, while free cash flow per share declined 8.8% to $1.14. We'll go into greater detail on these results on slides to come. Now, let's review the results of our businesses in more detail, starting with Cable Communications on slide five. Cable Communications delivered a solid first quarter. Revenue increased 6.7% to $12.2 billion as we increased customer relationships and grew total revenue per customer relationship by 4% to $146 per month. We added 269,000 customer relationships, 36% improvement in net adds compared to last year's first quarter, driven by growth in two-product and three-product customers and a reduction in churn across all products. In fact, video and high-speed data have each improved churn for 26 consecutive months. High-speed Internet continues to be the largest contributor to overall Cable revenue growth. Revenue increased 7.6% to $3.3 billion in the quarter, reflecting strong customer growth, customers subscribing to higher levels of service, and more modest rate adjustments compared to the prior year. Customer growth was strong, as we added a combined 438,000 net data customers in the quarter, which includes residential and business customers. We continue to differentiate and improve our product by increasing our speeds on existing tiers as well as offering the fastest in-home Wi-Fi with our advanced wireless gateways. At the end of the quarter, 77% of our residential customers received speeds of 50 Mb per second or greater and have one of our wireless gateways, both up significantly from the prior year. Video revenue remained healthy, increasing 3.9% to $5.5 billion in the quarter, primarily due to rate adjustments as well as customers subscribing to additional services, including premium channels, HD DVRs, and additional outlets. We added a combined 53,000 net video customers, our best first quarter result in nine years, driven primarily by another quarter of improved churn. We continue to make great progress rolling out X1 to new and existing customers, adding 1.1 million customers in the quarter, a 53% increase in net adds compared to last year. Nearly 35% of our total video customers have X1, which we believe is a real competitive differentiator. Coupled with the X1 technology is the breadth of content we offer customers both On Demand and with the compelling TV Everywhere offering. On X1, 86% of subscribers are using XFINITY on-demand monthly, viewing 25 hours a month on average; and 42% of subscribers are using our mobile TV Everywhere platforms monthly, up 32% from last year, viewing 7 hours a month on average. We think this adds great utility to our video service. Rounding out our residential products, voice revenue declined by 1.1% to $896 million in the first quarter, as customer additions were offset by a modest decline in ARPU. In the first quarter, we added a combined 102,000 net voice customers, up 33% versus a year ago. Now let's turn to business services, which continues to deliver excellent results. Revenue increased 17.5% to $1.3 billion, with the small business segment accounting for about 75% of our revenues and 60% of our growth. Revenue for the midsize business segment is growing at a faster rate than the small business segment, increasing its contribution as a percentage of total business revenue. Overall, business services has strong positive momentum, and continues to represent a large and attractive growth opportunity for the company. Finally, Cable advertising revenue increased 12.1% to $559 million. Excluding political revenue, our Cable advertising revenue increased 7.6% in the first quarter. Turning to slide six, first quarter Cable Communications operating cash flow increased 5% to $4.9 billion, resulting in a margin of 40.1% compared to 40.7% in the first quarter of 2015, driven by higher expenses primarily related to increases in programming costs and the investments we are making to improve the customer experience. Programming expenses grew 9.4%, reflecting programming contract renewals, as well as higher retransmit and consent fees and sports programming costs. As we've noted before, when we negotiate programming deals, we continue to value expanded content rights for our On Demand and TV Everywhere platforms. We continue to add more content, out-of-home rights, stacking rights, and back seasons, which helps ensure we have the most compelling and competitive video product on the market. Non-programming expenses increased 6.9%, reflecting our planned investment to improve the customer experience and to continue the rollout of X1. We've added technicians and service personnel, strengthened our dispatch teams and operations, and invested in training, tools, and technology. As a result, technical and product support costs grew 6.3%, and customer service expenses increased 8%. We continue to expect our 2016 Cable operating margin to be flat to down 50 basis points compared to 40.6% in 2015, as programming and other expense growth should be offset by modest rate adjustments, growth in high-margin businesses like high-speed data and business services, and continued overall cost discipline. Keep in mind for the second quarter, we face tough comparisons to last year's hugely successful Pacquiao versus Mayweather fight on pay-per-view. However, growth in high-margin political advertising revenue should provide more significant support for margin in the back half of the year. Now let's move on to NBCUniversal's results. On slide seven, you can see NBCUniversal delivered solid results in the first quarter, as revenue increased 3.9% and operating cash flow increased 10%. Adjusting to include the acquisition of Universal Studios Japan in last year's results, pro forma revenue was relatively flat, and operating cash flow increased 1.8%, more than offsetting the difficult comparison to a profitable Super Bowl and our strong Film results last year. This quarter's growth was driven by strong TV results, fueled by higher retransmission and affiliate revenues and the underlying strength of the advertising market. Cable Networks revenue increased 4%, and operating cash flow increased 6.4% to $956 million, reflecting higher distribution revenue, strong ad revenue, given the best advertising market we've seen in some time, and a modest increase in programming and production costs. Distribution revenue increased 5.9%, driven by contractual rate increases and contract renewals, partially offset by a slight decline in subscribers at our cable networks. Advertising revenue was flat compared to the first quarter of 2015, which included a benefit from a reduction in deferred advertising revenue. If we exclude this benefit, advertising growth would've been about 4%, driven by strong pricing, partially offset by audience rating declines at our cable networks. At Broadcast Television, while revenue declined 7.3%, we delivered outstanding operating cash flow growth of 56.5%, even with the profitable Super Bowl included in last year's results. This growth was driven by a few factors. First, the underlying strength of the advertising market. Excluding the Super Bowl, advertising revenue increased 9.6%, reflecting strong scatter pricing as well as one additional NFL game compared to last year's first quarter. Excluding the extra NFL game, advertising growth was still up high single-digits. Second, strong retransmission revenue growth was driven by recent step-ups. And last, programming and production costs were lower compared to last year, which included not only the Super Bowl but also more expensive prime time programming due to series finales. Film revenue declined 4.3% and operating cash flow declined 43.1% to $167 million, reflecting the difficult comparison to last year's strong film performance. Most notably, theatrical revenue declined 36.4% compared to last year's first quarter, which included the very successful Fifty Shades of Grey. In addition, home entertainment revenue declined 24.4% due to the strong performance of several releases last year, including Lucy. Partially offsetting this lower revenue was higher content licensing revenue and strong consumer products growth due to the Minions and Jurassic franchises. Theme Parks revenue increased 57.5% to $1 billion and operating cash flow increased 53.6% to $375 million in the first quarter of 2016. On a pro forma basis, revenue increased 9.6% and operating cash flow increased 3.3%. These results reflect the timing of spring break this year, stable guest attendance and higher per capita spending, partially offset by an increase in operating expenses, including pre-opening costs to support Harry Potter in Hollywood and The Flying Dinosaur in Japan. Now let's move to slide eight to review our consolidated and segment capital expenditures. Consolidated capital expenditures increased 9.2%, to $1.9 billion in the first quarter. At Cable Communications, capital expenditures increased 9%, to $1.6 billion for the quarter, equal to 12.9% of Cable revenue versus 12.6% in the first quarter of 2015. The increase reflects a higher level of investment and scalable infrastructure to increase network capacity, and an increased investment in line extensions as well as higher spending on customer premise equipment related to the deployment of the X1 platform and wireless gateways. Also included in each of these growth rates is the continued expansion of business services. In 2016, we will continue to invest into (18:29) these areas, as they are driving positive results in our business. For the full year, we continue to expect capital intensity to remain flat 2015, at approximately 15%. At NBCUniversal, first quarter capital expenditures increased 10% to $295 million, driven by the inclusion of Universal Studios Japan. We continue to expect NBCUniversal's CapEx to increase approximately 10% this year. We'll now finish up on slide nine. As I mentioned earlier, consolidated free cash flow declined 11.9% to $2.8 billion in the first quarter, reflecting growth in consolidated operating cash flow, offset by increased working capital as well as higher capital expenditures and cash paid for capitalized software and other intangible assets. We are successfully executing our plans for returning capital to shareholders, including dividend payments during the quarter totaling $611 million, up 6.9%, and share repurchases of $1.25 billion in the quarter, which are tracking to our $5 billion annual target. We ended the quarter right at 2 times net leverage, in line with our stated target. That concludes our summary of the quarter. I hope that everyone now has a good sense for how pleased we are with our results as well as our momentum. Now I'll turn it back to Jason to lead the Q&A.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thanks, Mike. Regina, let's open up the call for Q&A please.
Operator: Thank you. We will now begin the question-and-answer session. Our first question comes from the line of Ben Swinburne with Morgan Stanley. Please go ahead.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Thanks. Good morning. Neil, the customer metrics obviously speak for themselves. I'm just wondering if you could spend a minute talking about the kind of churn versus connect dynamic and how much of an opportunity is there to continue to bring churn down. For example, if X1 goes from 30-odd percent to 60%, is that going to continue to drive churn lower? And is there anything you're thinking about to drive connects up as you think about segmenting the market, and if (20:49) guys aren't doing today? And then Mike, on the non-programming cost growth, which you called out at 7%, is that the kind of investment you need to sustain this top line or should investors think that there should be some leverage in that broad cost bucket over time? Thank you.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Hi, Ben. I'll speak to connects and churn. Connects have been strong. I didn't want to say this, that the churn is the only driver there. We've had strong connects and they're driven by good segmentation of the market. We're segmenting different customer bases. We're rolling out great products, X1, 35% of the customer base now as well as voice remote. I mean, we've got 160 million commands on the voice remote part (21:33). So we're seeing great usage there. The customer experience we spent a lot of time on and I think that's helping churn. X1 is helping churn. And I think also, we've developed new sales channels like Amazon we announced earlier this quarter, though I think it's a combination of driving connects and reducing churn. The churns went down for 26 consecutive months, as Brian mentioned, and I see that trend continuing. I think that we're doing the right things in the customer experience, we're doing the right things on the product side, and we're doing the right things in the channel development side. So I see good trends continuing.
Michael J. Cavanagh - Chief Financial Officer & Senior Executive Vice President: And I'll just follow on that. I mean we're – on the investment and expense, and we're just playing offense and following the growth and progress that we're making. It's all success-based, so we'll keep doing what we're doing behind customer service, product, technology, and you've seen that on the non-programming side, but we'll get leverage over time as the customer service experience settles down, but we're not giving guidance today, Ben.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Thank you both.
Operator: Your next question will come from the line of Craig Moffett with MoffettNathanson. Please go ahead.
Craig Eder Moffett - MoffettNathanson LLC: Hi. Good morning. Brian, a question for you. I know you can't talk about M&A specifically, but maybe more broadly, it's now been about seven years since – or getting on to be seven years since you first stepped in for NBCU. I wonder if you could just reflect on how you see the relative values of content and distribution, and how you see the relative negotiating leverage of content distribution as we see more of these kind of programming disputes like the one that DISH just had with Viacom?
Brian L. Roberts - Chairman & Chief Executive Officer: Well, first of all, it's been five years since we closed NBC Universal and it's been a wonderful experience in all regards, and exceeded our expectations in almost every business. And we've talked a lot about that. I also think that putting the two together, we feel we're better together. I said that in the upfront remarks and almost every senior executive of the company sees a benefit from some other part of the company in their part of the company. And that is part of Symphony. When I think about the Olympics – I just touched on briefly in my opening remarks – you will see XFINITY's coverage of the Olympics will be unlike any television on the X1 experience that's ever been presented to a consumer for a live sporting event. And NBC coverage itself will be unprecedented if you just go back a few years to see how much this landscape has changed. And the companies that are leaning in toward that and are well-positioned, I can't think of a better company than ourselves. As to the relative value, these things evolve and go up and down, and the relationship between the two in terms of carriage disputes and other things, they're both great businesses. And that was our fundamental premise all along. I think I first learned that being on Ted Turner's board when Comcast was purely a cable company. It's a worldwide business, it grows all (25:00) in different ways, but they're in the same sort of system where together, the value tends to head in the same direction. And at any one time, one part of the ecosystem can be doing better than another part of the ecosystem, but in the end, we're bringing great experiences to consumers. You need their content, you need innovative distribution technologies, and that's how we're running our company. And I hope that's responsive to your question. Thanks for asking.
Craig Eder Moffett - MoffettNathanson LLC: If you had your druthers, would you rather have more of one than the other? I mean, you tried to buy some more distribution and now, at least, there's some speculation you're interested in more content. Is there one that you find more attractive at the moment?
Brian L. Roberts - Chairman & Chief Executive Officer: I'm not going to comment on that regard, and if you have more than one kid, you love them equally, and I don't know any other way to put it than they're both great businesses, and everything is specific to the situation. But we have very rigorous returns, our track record, it comes down to operating excellence. And just looking at Neil and Steve and their teams behind them, and I think that's what is the story today with these results. Both parts of the company remain at an exceptional level, in my opinion.
Craig Eder Moffett - MoffettNathanson LLC: Well said. Thanks, Brian.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thanks, Craig. Next question, please.
Operator: Your next question comes from the line of John Hodulik with UBS. Please go ahead.
John Christopher Hodulik - UBS Securities LLC: Thanks. Maybe a regulatory question for Brian. The FCC seems determined to fold cable underneath the special – or what they're now calling the business data services regime, and we should get some more color on that on Thursday. Just, what's your thoughts on that? And then, maybe somewhat related questions, Verizon's been making a lot of comments about eventual 5G rollout, any sort of early thoughts on the competitive environment, or how that's likely to evolve as 5G technology develops? Thanks.
Brian L. Roberts - Chairman & Chief Executive Officer: Let me let Neil start with the special access (27:06). Go ahead, Neil.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Yeah, well, the Chairman recently claimed that there was limited competition in the business data services area and it needed more regulation. I can say that we compete every day for that business, and it seems kind of counterintuitive that the FCC would want to impose regulations on a new entrant such as us, who's bringing more competition to the business. I think we haven't seen the proposed rulemaking yet, so it's probably premature to comment any further on it, though.
Brian L. Roberts - Chairman & Chief Executive Officer: Your second question was?
John Christopher Hodulik - UBS Securities LLC: It was on 5G. As you guys have probably heard, Verizon is talking a lot about rolling it out, really starting in 2018, as a sort of fixed wireless replacement for cable plan. I mean obviously, it's a little bit down the road, but just any sort of early thoughts on 5G and fixed wireless as a potential competitor to cable?
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Let me speak to that. 5G is an exciting new platform, and it's still in the very early days. We think that the propagation distance is fairly short, about 300 foot radius. The antennas are going to need space and power and backhaul, and it has – the spectrum doesn't really pass through objects like trees and buildings very well. But we think we're very well-positioned, because we have space and power and backhaul, as well as a field force to be able to install all the antennas and maintain the services and provide the backhaul that would be required. So we're going to continue to monitor, it's still a way – early in the game, and we feel well-positioned.
John Christopher Hodulik - UBS Securities LLC: Great. Thanks.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thanks, John. Next question, please.
Operator: Your next question comes from the line of Phil Cusick with JPMorgan. Please go ahead.
Philip A. Cusick - JPMorgan Securities LLC: Hey, guys. Thanks. First, a follow-up. Churn is improving nicely. You said it's been really sustained. Is there a case to be made to ease off on marketing to offset the cost growth in other parts of the business if this continues, and to support margin a little bit? And then second, on the opening up of the China market for film next year, how are you working toward that? Is that a real opportunity on the Universal side? Thanks.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Concerning the churn side, we've gotten very detailed. We have a data department that Ed Purcell (29:28) runs that's very detailed in how it segments the customer audience, and which segments we're going after. And we're very specific about that, and go after the high value, long CLB (29:44) customers. So I think where we see the opportunity, we're going to spend the marketing dollars, and we'll continue to provide great service and manage the churn as appropriate. I think the churn is an accumulation of a lot of different things we're doing in the business: customer experience, better product and just overall better service.
Brian L. Roberts - Chairman & Chief Executive Officer: One of the things I just want to add, that I think that Neil and Dave Watson and the team have calibrated, not just subscriber results, but also revenue and cash flow, and there's a balance that is pretty different than I think I've seen anybody else quite have, over a sustainable number of quarters. And so the investment we're making in service, investment in innovation and marketing, it's all working, but it's not at the expense of one or the other. And as you drive us forward, I think Neil, you'll be making judgments every day on that balance. But that's what I personally find appealing in some of the results, is that we're not just going on one side or the other.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: (30:54) Dave Watson and Cathy Avgiris and the field teams have done a great job just driving the business on a consistent basis.
Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.: So China, it's amazing how far we've come in the last few years. We had no employees in China several years ago. We now have a very good team, a movie team, a consumer products team, and we spent a lot of time, and have discussed on previous calls, trying to get going on building a theme park in Beijing. And that's going according to plan. So, China represents a big, big opportunity for the company. It already is a significant profit generator. Fast & Furious, for example, we did over $400 million in China. But as that market grows, I think it's very important that we be there, and I think we're doing all the things that you would expect us to do, and have a lot of big movies coming out in China in the next year, and want to make sure that we're doing everything we can to grow that market as aggressively as possible.
Philip A. Cusick - JPMorgan Securities LLC: Thanks, guys.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thanks, Phil. Next question please.
Operator: Your next question comes from the line of Jessica Reif Cohen with Bank of America Merrill Lynch. Please go ahead.
Jessica Jean Reif Cohen - Bank of America Merrill Lynch: Thank you. I have one for Steve and one's for Neil. Steve, on the upfront, I'd love to get your view of how this will turn out. You're coming to the market with a unified approach, which seems really logical but it's obviously never been done before. And within that context, so I'm wondering what the advertiser response has been so far. And within the context of the upfront, can you talk a little bit about Telemundo, which doesn't get that much attention, but you're a solid 40% share of the market at this point? And then for Neil, you've talked a lot about the drivers of video subs, which is phenomenal. I'm just wondering if you could drill down a little bit on what you're doing in customer service that's different this year versus last and what your plans are for next year. For example, like the Uber- (32:54) like app available across the footprint. Thank you.
Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.: So regarding the upfront, let me talk a little bit about the market. A year ago, a lot of advertisers pulled back and didn't spend as much in the upfront. I think part of the thinking was we can always spend later and there's plenty of places to spend our money on digital. I think the emotion of the market has swung pretty dramatically over the last year. I think people have come to the realization that broad television reach is really important in a campaign that digital has a place but television has a big place. And a lot of people, I think, who did not come into the upfront market last year paid significantly more in what has been one of the strongest scatter markets I've ever seen. So in terms of market dynamics, we're going into the upfront season, I think, with a lot of wind at our back, and my prediction is that it's going to be a strong upfront. We think we're in the pole position for that strong upfront. We represent about 20% of the eyeballs in television, if you add up broadcast and cable. NBC is on its way to its third annual 18 to 49 victory. We're doing very well in sports and news at NBC. And then our cable channels are strong. I'm glad you pointed out Telemundo. Telemundo used to be a weak second. We're beating Univision most nights at 10:00 and have closed the gap with Univision. And I think in a number of our channels, we're still underpriced relative to people that we're beating or close to or at least competitive to. So I think we're going into the upfront in a very strong position. And as you said, we sell all of our channels and all of our digital properties together under the unified direction of Linda Yaccarino our head of ad sales, which is an advantage for advertisers, but also, given our position, we tend to talk to people first, and that's exactly where we want to be. So I think we're going into this upfront with a better upfront, a better more unified approach, and more strength than we've ever had, and we'll see how it all plays out.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Jessica, concerning customer experience, we're focusing on a few things. One is making the experience all digital, so the customer, if they don't want to call an agent, doesn't have to. They can do everything they need to do, from a customer service perspective, online or digitally. We're working very closely on the first 90 days on the onboarding experience, making sure that's a perfect experience, that's a higher churn environment. We're focusing on reliability of the products and the network, making sure they're always up. We said at Intex (35:40) a year ago, we have the best product in the market, and I think we're delivering that now. We had the lowest days and call-in (35:49) rate in years. We took out 11 million calls. We had the highest first contact resolution rate in years as well. So we're seeing the results but it's focused across a number of fronts. And the team – Charlie Herrin and the team have done a great job getting organized around the five key journeys, and we're delivering – we're changing the way we look at the business through the customer lens, and it's really changed the way we go about doing things.
Unknown Speaker: Yeah.
Jessica Jean Reif Cohen - Bank of America Merrill Lynch: Great. Thank you.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thanks, Jessica. Next question please.
Operator: Your next question will come from the line of Jason Bazinet with Citi. Please go ahead.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): I just had a question for Mr. Burke. For years, the Street always was unwilling to put a multiple on the studio division, given its driven (36:42) nature. That seems to be changing a little bit as the failure rate of the franchise film falls If you look to (36:46) monetize those franchises across divisions they're increasing (36:50). Would you say that's an explicit strategy of your studio to focus on franchise films?
Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.: Oh, absolutely. Five years ago, we had one franchise, Fast and Furious. Today, we have eight franchises, and we're hard at work trying to build more. And we spend a lot of time trying to figure out where films are in the arc of the franchise. The franchise eventually declines and leaves and we're doing everything we can to make sure that the franchises that we have are strong as possible. We did – our Film group five-year plan review was just yesterday and we spent half the time talking about how to take care of franchises, make sure that they stay fresh, create new ones, make sure that they're fully monetized in consumer products and around the world. So it's a key, key part of our company and again, we've made tremendous progress in the last five years being in the position we are now where we can look forward to these franchises continuing to come back and succeed for many years to come.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): Thank you very much.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thanks, Jay. Next question, please.
Operator: Your next question comes from the line of Brett Feldman with Goldman Sachs. Please go ahead.
Brett Feldman - Goldman Sachs & Co.: Thanks for taking the question. I would be interested in hearing you comment on the future of the set-top box. If we look at what you're doing, on the one hand, you're making a big commitment to it through the X1 deployment, but you're also out there with your partner program and your recent announcement with Roku and Samsung. And so maybe just getting a view for how you think the marketplace is going to evolve. And then were you surprised at all by the FCC's reaction to the announcement that you had with Roku? It would seem that it would align with their set-top box reforms and yet they came out somewhat harshly against it.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Well, we think the X1 platform is the best there is in the market right now and we're seeing great results from it. Churn is down, VOD is up, more DVRs, more additional outlets, so it's hitting on all cylinders. We also want to make our content available to as many customers or potential customers as possible, and we want have the best content available. So we think the way to approach it is instead of coming up with new hardware that will probably be outdated in a short period, the apps-based approach was the right approach. And the deals that you referred to with Roku and Samsung are HTML5-based apps that provides the full suite of services. So set-top boxes will continue to be part of our ecosystem and as will apps. Brian?
Brett Feldman - Goldman Sachs & Co.: And will the... (39:38)
Brian L. Roberts - Chairman & Chief Executive Officer: Go ahead. What were you going to say?
Brett Feldman - Goldman Sachs & Co.: I was just going to ask your comments on the FCC's set-top box proposed reforms and their reaction to the partner program.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Yeah, I thought their reaction was unnecessary. I think that we are working hard with our partners. We've had over 40 companies call us to sign up for the partner program since then, and so there's great interest in the ecosystem to get access to our XFINITY app, and so I thought it was uncalled for.
Brett Feldman - Goldman Sachs & Co.: Okay. Thanks for taking the question.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thanks, Brett. Next question please.
Operator: Your next question comes from the line of Anthony DiClemente with Nomura. Please go ahead.
Anthony DiClemente - Nomura Securities International, Inc.: Good morning. Thanks for taking my questions. I have one for Mike and one for Neil. Mike, I think as a follow-up from an earlier question, from Ben's question, but can you talk any more specifically about the drivers of the 9.4% growth in programming expense in the quarter? I realize you had renewals on the content side, you're adding more content rights as you described in your remarks, but I think investors continue to wonder if this sort of 9% to 10% programming expense growth rate that we're seeing continues into 2017, or if it moderates as you get beyond some of the onetime renewals – some of those onetime step-ups with your partners? And then for Neil, it looks like on the high-speed data side that ARPU decelerated a touch in the quarter. I know you didn't have modem fee increases, but I think pricing power on broadband is something investors assume that's an arrow that you have in your quiver. So, just wondering if you could update us on how you think about broadband pricing this year and in the longer term? And if you have anything to say about what the FCC said about Charter not being able to impose caps on data usage. Any thoughts there would be appreciated. Thanks, both.
Michael J. Cavanagh - Chief Financial Officer & Senior Executive Vice President: Anthony, it's Mike. On program expense, what we're seeing thus far and for this year is consistent with what we had said at the beginning of the year, which is about 10% increase in programming expenses. And you hit the reasons; we have big – certain renewals happening now and over the course of this year. As far as going beyond this year, long term, you look back over time and long-term trends have been in the high single-digits, so we're running a little higher than – in the near term than that. But that is, again, due to just having some of our big contracts coming back up for renewal.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: And concerning HSD, I mean, we're very pleased with the 7.6% growth and the 438,000 subs. We feel good about the business. It goes back to that balance that Brian referred to. We've increased speeds 16 times (42:33) in the last 14 years. We're rolling out DOCSIS 3.1. We have tens of millions of Wi-Fi hotspots and so we continue to add value to the business. I think there's pricing opportunity going forward as we continue to add value. Concerning the Charter caps, I'd prefer not to comment on that. That's still pending.
Anthony DiClemente - Nomura Securities International, Inc.: Okay. Thanks a lot.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thanks, Anthony. Question, please.
Operator: Your next question comes from the line of Bryan Kraft with Deutsche Bank. Please go ahead.
Bryan Kraft - Deutsche Bank Securities, Inc.: Good morning. I have one for Mike and one for Steve. Mike, I wanted to ask about cash paid for intangible assets. These investments have been growing at a pretty good rate over the past couple of years, particularly in recent quarters. Can you talk about what's been driving the growth and how we should think about those investments going forward? And then, Steve, I was just wondering if you could comment on where the DISH carriage negotiations stand, and do you feel that you're making any progress at this point? Thank you.
Michael J. Cavanagh - Chief Financial Officer & Senior Executive Vice President: Okay. So, I'll just comment and if Neil wants to pile in, he can. But on the software intangible side, this is the other side of the offensive investments we're making in X1, cloud, cloud DVR, our home products, smart Internet. When we build software, we improve our backbone through some infrastructure investments, some of that rolls through software intangibles. So, it's the same story as what's going on in CapEx, and investing behind the growth we're seeing.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: I think we're in good shape with DISH. I think we have a meeting of the minds. We don't have a signed deal yet, but I think we will have one in the not-too-distant future.
Bryan Kraft - Deutsche Bank Securities, Inc.: Okay. Great. Mike, if I could just follow up. I mean, as you get through the X1 rollout which is, on the CapEx side, is more hardware-driven, I think most of us would expect the capital intensity to decline. But on the software side, should we expect the same, because it seems like the business is becoming more software-driven? So, is that going to take on maybe a different trajectory as you get toward the end of the X1 deployment?
Michael J. Cavanagh - Chief Financial Officer & Senior Executive Vice President: I'd say that continues to be on a trajectory. We are investing a lot in innovation, that's the point of what we've been doing on the product side, so that will continue. It's a small – obviously, a much smaller amount than the hardware side, but it has been on a higher growth rate and I'd expect it to, as long as we're seeing great results, continue to be biased towards innovating and getting great products out there.
Bryan Kraft - Deutsche Bank Securities, Inc.: Okay. Thank you.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thanks, Bryan. Next question, please.
Operator: Your next question comes from the line of Mike McCormack with Jefferies. Please go ahead.
Mike L. McCormack - Jefferies LLC: Hey, guys. Thanks. Neil, maybe a quick comment on AT&T's DIRECTV Now announcement rolling out later this year, sort of a true nationwide full-bundled offering, presumably – if and when they get the rights, whether or not that changes your thought on the competitive landscape? And I guess, for Comcast specifically, could you do the same thing? Are there Title VI or LFA requirements that would prevent you from doing so? And then I guess, for Mike, Cable OCF margins, can we just get a sense for how you think about the pacing throughout the year on quarters?
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Yeah, so on the AT&T announced product, there's no reason we couldn't do something very similar from a technology perspective or a rights perspective. We just have to go get the rights and deploy the product. We thus far haven't seen an OTT model that really hunts, (46:18) but we'll continue to stay tuned in to the market and be prepared to respond accordingly.
Michael J. Cavanagh - Chief Financial Officer & Senior Executive Vice President: And on Cable margins, it's quarter-by quarter; seasonality will drive things a little bit. I mentioned last year's second quarter, we had the Pacquiao fight in what is usually a seasonally weaker quarter. But full year is, as we said, last year was 40.6% Cable margins and, as we said at the beginning of the year, it'd be flat to down 50 basis points, and that continues to be what we see.
Mike L. McCormack - Jefferies LLC: Great. Thanks, guys.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thanks. Mike. Next question, please.
Operator: Your next question comes from the line of Vijay Jayant with Evercore ISI. Please go ahead.
Vijay Jayant - Evercore ISI: Hi. Thanks. Two questions, please. Steve, just want to get some color on the Cable net underlying subscriber trends. Obviously, we have some sense on what cord cutting is, but on the cord-shaving side, any color? I mean, we've been thinking it's about a 2% decline on the base, but is that changing? Any color there would be great. And then for Neil, I understand there's a big cost element on the operating cost side for set-top box-related costs, structurals, (47:33) customer care. So, in a longer-term environment where set-top box possibly goes away, if that's the case, how much cost can go out from that line? That would be great to understand. Thanks.
Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.: So, in terms of cord cutting, cord shaving, we don't see much change at all. The numbers you – the 2% you talked about is not far off from what we're seeing, and some of it is shaving and some of it is cutting. And the interesting thing about the Cable Network business is the overall resiliency. If you look at the affiliate stream and the advertising stream and the desire for advertisers to buy broadly-distributed, highly-rated cable channels being stronger than ever. So, as a business, it's not going to grow – we've said before and we'll say again, it's not going to grow the way it did 10 years ago. But it's still a good business for us, and we don't see any major change, in terms of what's going on with sub trends.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Concerning set-top boxes (48:32) as we put more up in the cloud and go to IP video, we think the cost of the set-top boxes and the overall hardware in the house will come down. We still believe there's a need for hardware in the house, at least at the gateway level, and we've got IP video in the labs now and we'll continue to look at the right balance to get the best content and all the content to our customers while managing the CapEx cost. But in terms of CapEx, CPE is in the 40% to 50% range of our CapEx spend, so that would be the amount overall that would be under development.
Vijay Jayant - Evercore ISI: Great. Thank you.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thank you, Vijay. Next question, please.
Operator: Your next question comes from the line of Marci Ryvicker with Wells Fargo. Please go ahead.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. Two quick questions. First, in terms of Cable, Charter is being asked to overbuild 1 million broadband subs and, looking at how big of an issue this might be, since this is the first time cable operators will actually compete against each other. I know it's early, but do you have any thoughts about this that you can share with us? And then secondly, for Steve, within NBCUniversal, and I guess just in general, we keep seeing declines in Cable subs but not Broadcast. Can you talk about what's driving the difference?
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: This is Neil. I'll comment on the Charter overbuild. I think it's early to comment on it, since we haven't seen the details. But generally speaking, Comcast is in urban markets and these urban markets have been overbuilt by one or another telco. And so, we're in a very competitive environment as it is, and we think we're well-positioned.
Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.: So, the Broadcast business is a real positive, I think, in the overall NBCUniversal story, if you look at where the company was five years ago and where it is today. The most highly-rated channels, I think, are going to be staying in the most bundles and are going to be watched by the most people, continue to be watched by the most people, and I put NBC obviously right at the top of that list. Retransmission consent has been a tremendous benefit to our Broadcast business, both the retransmission we get from our own stations and the share we get from our affiliates. If you add those two numbers together, that was a number around zero five years ago and it's a number around $800 million today, something like that. And also on the advertising side, I think, particularly the live events, you've got Olympics coming up for 17 days, our ratings will be higher than all – if you add the other three broadcasters together, we will be a multiple of anyone else's ratings for 17 days. Imagine how valuable that is to someone who's trying to build a brand or introduce a new car or do something major in terms of changing the opinion of people in America. So, it's interesting. I would not have predicted this 10 or 20 years ago but it feels like Broadcast is getting stronger and stronger in this period. We have to keep putting good shows on and it's tougher and tougher in a fragmented world to get a rating. But when you do, you do get – you get rewarded for it significantly.
Marci L. Ryvicker - Wells Fargo Securities LLC: Got it. Thank you.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thanks, Marci. Regina, we'll take one last question.
Operator: Your last question will come from the line of Frank Louthan with Raymond James. Please go ahead.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Great. Thank you. Can you comment a little bit more on the Amazon channel partnership and how important you feel that channel partners like Amazon and others will be to the products that you have going forward?
Brian L. Roberts - Chairman & Chief Executive Officer: It's in the early stages of the partnership, but it's worked very well. They've been a great partner in helping us understand how to better sell contextually. In other words, if you buy a laptop, do you want an HSD service? If you buy a television, do you want a video service? So, the contextual sales aspect they've been very helpful in working with us. Concerning – we've developed a number of other channels. Our stores are doing very well. XFINITY On Campus is doing very well. So, we continue to – every year, we seek to develop new channels and Amazon, we see great promise in.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Okay. Great. Thank you.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thank you. Yeah. Thanks a lot, Frank. We'll wrap the call up there. Thanks, everyone, for joining us. Regina, back to you.
Operator: There will be a replay available of today's call starting at 11:30 a.m. Eastern Time. It will run through Wednesday, May 4, at midnight Eastern Time. The dial-in number is 855-859-2056 and the conference ID number is 68923741. A recording of the conference call will also be available on the company's website beginning at 12:30 p.m. today. This concludes today's teleconference. Thank you for participating. You may all disconnect.